Mark Dehring: Good morning, everyone. Thank you for joining CSL's results presentation for the first half of the 2026 financial year. I'm Mark Dehring, CSL's Head of Investor Relations. Please note, this briefing is being webcast. We have a lot to get through today. But as usual, I'd like to draw your attention to the important disclaimer on your screen. A copy of this, along with our other ASX materials, have been published on the CSL and the ASX websites. You will also have seen announcement we made to the ASX yesterday relating to the appointment of Gordon Naylor as Interim Chief Executive Officer and Managing Director. We'll hear from Gordon shortly. But before we do, I'd like to introduce our other speakers today. With me here in Melbourne is Ken Lim. Ken has been our CFO since October last year. Prior to that, he was our Chief Strategy Officer and has previously led our Seqirus business unit. Also here is Chief Commercial Officer, Andy Schmeltz. Andy joined CSL in 2023 as Executive Vice President, CSL Behring. And last year, his role was expanded to include CSL Vifor. And finally, we have Dave Ross, General Manager and Senior Vice President of CSL Seqirus since 2024. And prior to that, he was the Head of Commercial Operations in North America since 2017. I'll now hand you over to Gordon for some comments before we get into the detail of the results.
Gordon Naylor: Thanks, Mark, and good morning, everyone. My name is Gordon Naylor. And following the announcement yesterday, I'm CSL's Interim CEO. My main job is to run the business, giving the Board the space to find and appoint a suitable successor. I'll briefly cover my background, but in that respect, I will work to be an experienced set of hands for about a year. Interim does not mean that I'll be taking a back seat. With the support of the Board, I fully intend to drive the company forward. In the short run, we have an ambitious half year ahead of us, and we need to complete the strategic transformation that is now well underway and already delivering value. At the same time, we must deeply examine CSL's journey, especially over the last decade to fully understand the opportunities for improving strategic growth and profitability. As an investor, I'm not prepared to accept that we can't do better, and I see opportunities to do so. Just to briefly recap on my time with CSL. I have a deep connection to the company over my 33 years as an employee before I was invited to join the CSL Board in December. Along with Brian McNamee and many others, I took CSL from an unloved part of the Australian government to global leadership in plasma therapeutics and then influenza vaccines. We had and continue to have a deep understanding of those industries and the economics that drive them. I was a key player in the globalization of the company and was heavily involved in the major acquisitions that Brian drove to establish CSL Plasma, Behring and Seqirus. I then took CSL Plasma to global leadership and at different times, ran various functions, including the global supply chain and IT. I was Chief Financial Officer through a period of remarkable growth. My last assignment was to build Seqirus into global influenza vaccine leadership. Dave and Ken were key parts of my team. I'll make a couple of early high-level comments before handing over to Ken. I think that the strategic framework is sound. The challenge is whether we can do better within that framework. I'm very happy with Seqirus. It has used its global product leadership to drive market share gains in an extraordinarily difficult U.S. market, a classic CSL play. The noncash impairments around the Vifor products are allowing us to move forward. The cash flow from the iron franchise and the growth opportunities in nephrology make this an attractive space. Your focus and my focus will be on Behring. It's a highly attractive growth sector, and we have the right assets. This is where the greatest opportunity lies. CSL remains a strong and consistent cash generator. I'm looking forward to engaging in more depth with our shareholders over the coming weeks and months. With that, I will hand over to Ken and the rest of the team.
Ken Lim: Thanks, Gordon, and good morning, everyone. Before I get into the results for the first half, I'd like to remind you of our strategic framework. The results we're presenting today represent a step in a broader transformation of CSL with the objective of delivering enhanced growth, profitability and shareholder returns. Andy will then provide an update on Behring and Vifor, and Dave will take you through the Seqirus result. I'll then discuss our financials in more detail as well as our guidance for the rest of the 2026 financial year. Many of you will be familiar with this slide from our Capital Markets Day in November. CSL's growth is underpinned by our leadership in large growing markets with high unmet medical need. We're embedding a relentless focus on cost leadership to deliver profit growth that's faster than revenue growth and generate strong cash flows that enable us to reinvest in the business. I'm confident that this strategy will underpin strong sustainable shareholder value creation over the long run. Six months ago, we introduced a transformation program to simplify our organization and drive stronger growth. I'm pleased to say we're progressing well and are already seeing significant value creation. I'll speak to some of the key initiatives. Those in white are now complete and those shaded gray are underway. In terms of portfolio growth opportunities, we're excited about our collaboration with VarmX on a potential new coagulation treatment. And just this week, we entered into an early-stage research collaboration with Memo Therapeutics, focusing on their recombinant polyclonal Ig technology. On the efficiency side, we've rationalized R&D sites and streamlined our corporate functions, resulting in savings that we'll see flow into the P&L this year. We've integrated Behring and Vifor's commercial and medical functions, eliminating duplicated spend that has facilitated reinvestment in our U.S. and China commercial capabilities. In plasma collection and manufacturing, we've reallocated collections to more efficient centers and are making strong progress on multiple yield enhancement projects. While we're pleased with our progress so far, there's still a lot of opportunity ahead of us. And as I said earlier, I'm confident we'll see these initiatives translate into strong, sustainable shareholder value creation over the long run. Turning now to our financial results. While we made strong progress on the transformation program, we're clearly not satisfied with our first half results and we'll be speaking to the initiatives we've implemented to drive stronger growth going forward. Our first half performance was also adversely impacted by government policy changes and one-off costs associated with our transformation program and asset impairments. I'll get into more detail shortly. We have a strong balance sheet and cash flows and today are announcing an expansion of our share buyback from $500 million to $750 million. Looking at our high-level financials on a constant currency basis, group revenue fell by 4% and NPATA declined by 7%. Reported net profit after tax was down 81% after factoring in the one-off costs that I mentioned earlier. Cash flow from operations was $1.3 billion. Looking ahead to the full year, we're maintaining guidance and have an ambitious plan for growth in the second half, driven by Ig, albumin and our newly launched products. I'll return later in the presentation to discuss our full year results guidance in more detail. With that, I'll hand over to Andy Schmeltz to discuss the performance of the Behring and Vifor businesses.
Andy Schmeltz: Thanks, Ken. You see the Behring half year results here. Needless to say, this has been a challenging time for the business. Let me give you some context. Ig sales of PRIVIGEN and HIZENTRA declined relative to a strong comparable period in the first half of fiscal year '25. This performance includes the adverse impacts of IRA Medicare Part D reforms, which crimped Ig sales in the U.S. and the expiration of some contracts internationally, which I've spoken about previously. However, when compared to the trailing 6 months through June 2025, where the comparison is like-for-like relative to Medicare Part D, revenue from Ig increased by 3%. For albumin, the disruption from policy changes and cost controls in China, which we highlighted at our Annual General Meeting in October, are reflected in the numbers. That said, we've mobilized rapidly to mitigate the impact of these challenges. In fact, we've seen a positive response in the most recent 3 months from the expansion of our hospital field force in China and from our exclusive retail channel partnership announced in early November 2025. I'll talk more about this in a moment. The performance of Ig and albumin was partially offset by strong growth in other areas, including hemophilia, where we continue to see steady uptake of HEMGENIX. Sales of HEMGENIX grew 16%, backed by positive 5-year data published in the New England Journal of Medicine in December of 2025, which reinforced durable efficacy and safety for HEMGENIX in adults with hemophilia B. And we were very pleased with the strong launch of our new treatment for hereditary angioedema, ANDEMBRY, after it received approval in the U.S. and many international markets during fiscal year '25. ANDEMBRY can eliminate HAE attacks for the majority of patients with once-monthly dosing via prefilled auto-injector. Today, less than a year into the launch, more than 1,000 HAE patients globally are now on therapy. With this momentum, ANDEMBRY is poised to become a leading medicine for HAE prophylaxis. Finally, perioperative bleeding, in particular, KCENTRA, continued to be impacted by competitive market dynamics. I'd now like to dive a little deeper into our Ig franchise and also albumin dynamics in China. Our view is the fundamentals of the Ig market remains strong with significant unmet patient need. We continue to see the market growing consistently in the mid- to high single-digit range over the medium term. This is underpinned by robust growth across core indications like primary and secondary immunodeficiency and CIDP. And importantly, Ig market demand and supply are balanced. In the coming second half, I believe we will see stronger double-digit CSL Ig portfolio growth now that, one, we have digested the onetime adverse impacts previously mentioned; and two, we anticipate benefiting from commercial investments triggered over the past several months. Specifically, the expansion of our U.S. Ig and hospital sales forces, restarting our U.S. HIZENTRA direct-to-patient marketing campaign and broadening our contracting efforts across targeted accounts in the U.S. and with customers and governments internationally. Early signals are promising from these investments. Our U.S. PRIVIGEN business grew faster than the IVIg market over the last quarter, and our international business, excluding the U.K., is growing in high single digits. All that said, I appreciate this is a show-me story with forward results necessary. Moving to albumin sales in China. Upon seeing the market decline early in the fiscal year as government policy enforcement ramped up, we rapidly deployed mitigation efforts, which should lead to a stronger performance in the second half. These included expanding our geographic footprint across more provinces, cities and hospitals in China. We are ramping up our commercial presence across 8 must-win provinces and pursuing more than 100 new hospital listings. We also entered into an exclusive partnership with local Chinese distributor, Baheal Medical, focused on the private pay retail segment. And finally, our medical team is generating fit-to-purpose real-world evidence to demonstrate albumin's important role across diseases while our commercial team is driving on-label demand. I'm confident these measures will see albumin sales in China stabilize, recover and grow in the second half. Turning now to Vifor. CSL Vifor delivered a strong performance driven by nephrology. Overall, revenue was up double digits at constant currency. However, the iron business fell, having been impacted by generic competition. Nephrology was the standout as sales in the dialysis segment jumped. This was driven by continued strong demand for Velphoro as the full benefit of its inclusion in the TDAPA scheme was realized. Mircera also performed well and continues to be the market leader in the U.S. Our rare nephrology launch products also reflected robust demand and sales growth, driven by continued uptake of Tavneos in all markets where it's launched, and FILSPARI, which successfully launched in several European markets. This next slide outlines why we believe nephrology will continue to be a strong contributor to overall performance. Velphoro is benefiting from TDAPA designation that will continue through the end of the calendar year. And our rare nephrology launch products, Tavneos and FILSPARI are well differentiated and performing well in Europe. As alluded to in the previous slide, iron growth was impacted by the launches of generics and associated price deterioration. Also, we expect to see the impact of the loss of exclusivity of Injectafer in the U.S. in the 2027 financial year. Despite this, there continues to be high unmet medical need for iron, and we believe growth opportunities will come from geographic expansion as well as via market development to grow IV iron penetration into areas such as women's health, cardio and chronic kidney disease. I'll now hand off to Dave Ross to discuss the results for CSL Seqirus.
Dave Ross: Thanks, Andy. As expected, coming into this year, our influenza pandemic business returned to more normalized levels following a nonrecurring H5 outbreak revenue in FY '25. With that, our focus was placed squarely on driving our differentiation strategy in seasonal influenza, where I'm proud to say that we're the only company with year-on-year revenue growth continuing our long-standing track record of growing market share. The breadth of real-world evidence continues to demonstrate the increased effectiveness of our cell-based vaccine, FLUCELVAX, and the benefits of our adjuvant vaccine, FLUAD. This compelling clinical data, coupled with strong commercial execution, has allowed us to grow share in key U.S. customer segments and to continue the execution of our geo expansion strategy, all of which is designed to drive growth while diversifying our customer base. Additionally, the opening of our cell-based Tullamarine facility allows us to make a full conversion to differentiated vaccines while expanding our pandemic capabilities and offering. Our performance was achieved against the backdrop of a global seasonal influenza market that we project will decline by mid- to high single digits on a value basis. While immunization rates in ex U.S. markets have essentially recovered to pre-pandemic levels, U.S. immunization rates will see a low to mid-single-digit decline this season. While lower demand in the U.S. has put downward pressure on global prices, the most significant impact has occurred in nondifferentiated standard egg-based vaccines to which we are no longer exposed with the forthcoming sunset of our Afluria brand. I remain confident that the U.S. immunization rates will recover over the medium term, especially given the significant public health burden we're currently experiencing. As a reminder, last year marked a 15-year high in influenza disease and is currently trending to be an equally bad or even worse flu season this year. There are at least 20 million cases this season in the U.S. with disease activity still running high. Sadly, pediatric deaths are again on the rise with the overwhelming majority of those deaths occurring in children who were either under or unvaccinated. With the rising burden of disease and recent U.S. policy changes, we're seeing a groundswell of stakeholder momentum building to combat vaccine hesitancy. The most notable being the American Academy of Pediatrics reaffirmation that all children 6 months and above in the U.S. should be immunized. As I've stated before, the science and the data will ultimately prevail. The public health consequences of influenza are just too big to ignore. So while the current market dynamics are challenging, our differentiation strategy positions us well to continue our trend of outperforming the market. And as U.S. immunization rates recover, it will act as an accelerant for our strategy and growth ambition. And with that, I'll hand it back to Ken to discuss the financial results in more detail.
Ken Lim: Thank you, Dave. I'll start by walking you through the P&L, focusing on our reported numbers and changes in constant currency. Total revenue for the group was $8.3 billion, down 4%. Gross profit was $4.6 billion, down 3%. And group operating result was $3.8 billion, down 4%. In research and development, we made strong progress on our restructuring initiatives and in fact, are a little ahead of schedule. R&D expense in the first half was $600 million, down 8%. For the second half, we expect R&D to be a similar amount as the first half, again, benefiting from our restructuring work. Importantly, we're investing where we see attractive opportunities such as our VarmX candidate, which is scheduled to commence Phase III in the second half. General and admin costs were also down, in this case, by 2%. We expect G&A costs in the second half to be similar to the first. Net interest expense was down 11% as our balance sheet continues to delever given strong cash flow. NPATA before restructuring and impairments was $1.9 billion, down 7%. I'll go into more detail on the restructuring and impairment costs shortly. Post these one-offs and amortization, net profit after tax was down 81%. Our underlying effective tax rate was 21%. We expect this to be in the range of 18% to 20% for the full year. We continue to deliver strong cash flows of $1.3 billion in the half. We declared an interim dividend of USD 1.30, which is unchanged from the prior comparable period. And finally, a reminder, that from fiscal '27, we'll be moving to NPAT rather than NPATA as our core earnings metric. Turning to the next slide, we presented the operating results for each of our business units. Andy and Dave have already spoken to the sales drivers. For CSL Behring, revenue was down 7%, gross profit down 7%, and the operating result was down 9%. Behring's gross margin improved slightly by 10 basis points. This reflects the positive impact of efficiencies in plasma collection and manufacturing and the growth in HEMGENIX and ANDEMBRY. It also reflects headwinds from Medicare Part D and the sales declines in albumin and KCENTRA. Medicare Part D alone represents a roughly 100 basis point margin headwind. Seqirus' revenue was down 2%, which is pleasing, given the challenging market backdrop Dave spoke about earlier. However, Seqirus' margins did come under pressure due to pricing in the U.S., geographic mix shift towards lower-priced markets and the noncontinuation of Avian flu sales recognized in fiscal '25. Sales and marketing costs for Seqirus were up, reflecting launches into new markets such as Germany and France. For Vifor, revenue was up 12%, driven by the strong performance in nephrology and its operating result was up 22% as we continue to leverage the P&L through efficiency gains. On the next slide is an update on the financial aspects of our transformation program. As a reminder, we're targeting annual cost savings of up to $550 million by fiscal '28 with one-off restructuring costs of $700 million to $770 million. Our plan in fiscal '26 is to deliver $100 million of cost savings. And I'm pleased to say at the half year we've achieved 60% of that target. In relation to one-off restructuring costs, we're about 2/3 complete. There are 2 areas that account for the bulk of these costs, employee expenses and we rightsized the organization and facility closures and asset write-offs. Turning to the balance sheet on the next slide. Separate to the restructuring costs that I just discussed, in fiscal year '26, we'll be booking total after-tax impairment of approximately $1.1 billion with $1.05 billion taken in the first half. The impairments principally relates to 3 main areas: first, a write-down relating to our agreement to license self-amplifying mRNA technology. Since entering this agreement in 2022, we've seen a decline in COVID disease burden as well as a significantly more onerous regulatory regime in the U.S., particularly regarding mRNA vaccines. We're also impairing the carrying value of Venofer, our iron sucrose treatment for anemia. The impairment follows the licensure of 3 generic competitors in the U.S. in the latter half of 2025, resulting in reduced future sales expectations. Reduced forecast for Venofer have minimal impacts to the group with Venofer contributing approximately $117 million in sales last fiscal year. Finally, our decision to accelerate investment in Horizon 2 manufacturing capacity has led to the redundancy of some plant, property and equipment. In the second half of this fiscal year, we anticipate an impairment of approximately $70 million post tax relating to Velphoro. As we previously noted, Velphoro sales have grown significantly following its inclusion in the U.S. TDAPA framework. However, TDAPA inclusion is expected to roll off from December 2026. These impairments are almost entirely noncash. And as I mentioned earlier, have minimal impact on the forward-looking prospects for the group. Our balance sheet remains in a strong position with leverage of 2x at December 2025 after repurchasing approximately USD 400 million of shares in the first half. This has given us the opportunity to expand our existing share buyback program for this year from $500 million to $750 million. Moving to my final slide. We're maintaining guidance for the full year. We've set out here the drivers of our strong second half ambition and a bridge from our first half results. Starting with our first half group revenue that we announced today, if we simply double this and take off an amount that allows for the expected seasonality in Seqirus, we get a simple annualized revenue figure for the full year. On the right of the waterfall, we've shown the growth expected in the second half. In Ig, we expect double-digit second half growth for both PRIVIGEN and HIZENTRA due to our expanded field force in the U.S. direct-to-patient advertising and broaden contracting. For Albumin in China, as you heard earlier, we've already seen positive signs from our expanded commercial footprint across more hospitals and cities supported by our retail partnership with Baheal Medical. And finally, we expect continued strong momentum in our recently launched products, HEMGENIX and ANDEMBRY. We also acknowledge that there will be competitive pressures in other areas of our portfolio such as iron, KCENTRA and HAEGARDA, and have taken these into account for our full year expectations. Before handing back to Mark for Q&A, I'd like to make a few closing comments. We have significant untapped potential in this business. While our transformation program is progressing well, there is still much work and many more opportunities ahead of us to enhance growth and shareholder returns. I'm looking forward to working with Gordon to realize that full potential. With that, I'll now hand over to Mark to coordinate the Q&A.
Mark Dehring: [Operator Instructions] Our first question comes from Andrew Goodsall at MST Marquee.
Andrew Goodsall: Just to the ownership of the result and obviously with Gordon as the incoming CEO. There's a propensity in the marketplace to see a new CEO is sort of generally coming in resetting numbers. So just coming -- just asking directly on that ownership. Obviously, Ken's going through it in a bit of detail, but just wanted to hear from Gordon on that.
Gordon Naylor: Yes, I'm familiar with the model. So yes, there be no ambiguity. I completely own the situation of the company is in at the moment, and that's a bit of my job is to look for the opportunities that Ken referenced earlier and do something about it.
Andrew Goodsall: Okay. And then the second question, just perhaps to Andy, just on confidence around second half Ig growth. And obviously, we're familiar won a few contracts, including the -- well, a step-up in your participation in the Aussie import comp contract. Just any more color and detail you're sort of willing to share with us that gives you that confidence in recovery.
Andy Schmeltz: Thanks for the question, Andrew. Clearly, we knew that the first half was going to be a challenging period for our Ig portfolio. And we faced many headwinds here in the first half and adverse impacts that are going to be predominantly behind us in the second half. The kind of U.S. Medicare Part D reform, that's a few points of growth that were impacted, the impact of the lost contracts internationally, which we've worked a lot through, that's another few points of growth. And then there was some choppiness in trade purchases as well. So with those behind us and the investments that we've made, as I kind of articulated, in our U.S. field force, in our direct-to-patient campaign, in our broadened contracting platform, those all have started in recent months to have some momentum. We see, in the U.S., PRIVIGEN is growing faster than the IVIg market. We see HIZENTRA holding share. We see our growth ex U.K. internationally in the high single digits and that will all benefit us in the second half. We think that probably a better barometer is trailing period growth, which was 3% versus the trailing period. And we think that's probably a more appropriate kind of barometer for full year.
Mark Dehring: Next question comes from Saul Hadassin at Barrenjoey.
Saul Hadassin: Just first question, sort of cognizant of the pressures for Ig and albumin in the half, but maybe 1 for Andy. KCENTRA, IDELVION, HAEGARDA, BERINERT, effectively all delivering growth well below expectations, at least what the market was looking for. Can you talk to some of the measures that you're introducing outside of Ig specifically that might see some recovery in those particular products?
Andy Schmeltz: Sure, Saul. Thanks for the question. Certainly, KCENTRA is predominantly a U.S. story where there was an introduction of a competitor a couple of years ago at a significantly lower price point than KCENTRA. And so we've been competing well. We've actually decelerated the impact. It's now from a volume perspective in the single digits, but there's a price impact. We've been broadening our contracting approach. We now have a U.S. hospital field force that's promoting not only PRIVIGEN but KCENTRA as well, which is very helpful. And we're being successful with contracts. And actually, our volume growth in contracted accounts is growing in mid-single digits. But that doesn't take away that the return to growth for KCENTRA is going to take time, and it's going to be predicated upon broadened indications in DOAC reversal and in cardiac surgery, which are coming in the next few years. Just to comment, IDELVION is actually holding its own in hemophilia B quite nicely in the face of 3 new subcutaneous competitors. HAEGARDA also is holding its own lots of innovation in the hereditary angioedema space. And so that was as expected for us, especially with ANDEMBRY performing so well. I think I covered the major products that you mentioned.
Saul Hadassin: And can I ask a quick follow-up just as it relates to the outlook then for the second half gross margin for Behring. Clearly, first half, not a bad outcome in terms of some degree of margin expansion. Is second half going to deliver even more margin uplift on the basis of benefits coming through from RIKA and the Nomogram?
Ken Lim: Saul, it's Ken, and I take that question. So as you saw margin in the first half were marginally up, and that reflects a number of positive drivers. So what we're doing in plasma collections, plasma manufacturing, and then the growth that we've seen in some of these high-margin products that Andy spoke to, basically, HEMGENIX and ANDEMBRY, have been positive to margin. And then there's some -- also some headwinds. So we've seen a decline in albumin. We're seeing a decline in KCENTRA and then also the Part D impact. We will cycle through those, but they're embedded in the results for this full fiscal year. So the medium-term outlook for margin is definitely continuing to trend upwards. But for fiscal '26, it will be broadly stable, marginally up, consistent with the first half.
Mark Dehring: Next question comes from Steve Wheen at Jarden.
Steven Wheen: It's a bit of a continuation of the gross margin in Behring. I mean there's clearly a lot of moving parts here and a lot of headwinds based on some of your high-margin products doing worse than less than expected. I'm just trying to understand what is driving the ability to offset that. So you've called out 100 basis points from Medicare Part D, but what other sort of -- I'm ultimately just trying to quantify the upside to the margin in that half that you're getting through efficiencies and some of the other initiatives you've put in place?
Ken Lim: Sure. So I'll expand a little bit. So we have a number of operational levers that impact margins. So what we're doing internal to the company, and they're all going quite well. So CPL is trending down. We've previously spoken about the benefits that we're delivering through Horizon 1 yield improvement that continues to deliver. We're taking fixed costs out across the network, including in operations, which impacts the gross margin. Some of that because of our supply chain lead times take a while to manifest in the P&L. So as an example, if you recall, Rika and iNomi, were only fully rolled out at the end of fiscal '25, and we don't get a full year impact of those benefits until fiscal '27. So I'd tell you on those internal operational levers, we feel pleased with progress. And then, of course, there's the product mix. And so that goes back to the topics that we've already discussed. And a mixture of drivers here, some tailwinds and some headwinds, which I think Andy has already covered.
Steven Wheen: Yes. And can I just follow up on that? Clearly, price is a major driver to margin. Could you just talk to some of the pricing dynamics that you've seen in Ig in the U.S. specifically, and then maybe an albumin as you start to look into some of these into this retail channel?
Andy Schmeltz: Yes, I'll take that, Steve. Look, price for Ig, particularly in the U.S., prices are relatively stable. We're able to take modest price increases. And then, of course, there's a lot of contracts in the U.S., particularly for IVIg. But that being said, in this period, the Medicare Part D impact is purely on price. So you see this negative impact on price, and that's where we capture the Medicare Part D. But that will be behind us as we move into calendar year '26 and going forward. For albumin, clearly, in China, which is the highest price realization for albumin globally, it will continue to be so even with the cost controls. But we are being thoughtful and modestly taking some price down in order to grow volume because it's a volume play for albumin as we expand geographically, but modest taking price. And around the rest of the world, prices are relatively stable for albumin, but significantly lower than China and the U.S. And so our strategy for albumin is to continue to expand in China, and I think we'll see a nice turnaround in the second half.
Mark Dehring: Next question comes from Laura Sutcliffe at Citi.
Laura Sutcliffe: Could you please explain a bit more what the phrase broadened contracting approach mean?
Andy Schmeltz: I think that's to me, Laura. Happy to. Look, broadened contracting is our attempt to kind of encapsulate both in the U.S. and internationally, a recognition, particularly with Ig that there's opportunities for us to grow volume by being more robust in our contracting approach. In the U.S., there are segments in the hospital segment, in the specialty pharmacy segments, and in clinics, and we had been a little narrower in our approach historically of where we contract and where we don't. So now we're being much more purposeful. And internationally, of course, 60% of the Ig volume goes through tenders. And we've been very thoughtful in improving our capabilities, database analytics, modeling, game theory, so that we can be successful in the tenders that we think are appropriate and that we choose to win. And so that's kind of what the phrase broadened contracting speaks to.
Laura Sutcliffe: Just a follow-up on that. Does that mean you're willing to be a bit more flexible on price? Is that what that is really getting at?
Andy Schmeltz: Yes. I think we absolutely are being thoughtful and purposeful. At the end of the day, there's limited supply for Ig, and so we want to allocate our limited supply in areas where we think it's appropriate and at the price points that make sense for us, but we also don't want to be predictable. And so that's part of this as well.
Mark Dehring: Next question comes from Dave Stanton at Jefferies.
David Stanton: Just a modeling question for me. Do you expect revenue growth in albumin in F '26 on F '25, please?
Andy Schmeltz: Again, I think that 1 goes to me, Dave. So albumin, the second half is going to be much stronger than the first half, not only because the real impact was in the first 3 months of the year in China. And the investments that we quickly made that I articulated are already starting to pay dividends. And so we're going to see a nice turnaround in the second half. Can we make up for the entire shortfall in the first half of the second half? I think we're going to get close, but I think modest year-over-year decline in albumin in '26 with a return to growth in '27 is probably more appropriate guidance.
David Stanton: Very clear. And my follow-up and 1 for Ken. You have mentioned in F '27 and F '28 that you're looking for high single-digit guidance at NPAT previously. Does that still hold?
Ken Lim: Sure. So we obviously need to get through the second half, and we've been speaking a lot about that on this call in relation to the longer-term outlook for '27 and '28 seeing nothing that would lead us to change that outlook. That's always the case at the moment -- we're working through the budgets for fiscal '27, and as is normally the case, we'll give more detail on that when we get to the full year result in August.
Mark Dehring: Next question comes from Lyanne Harrison at Bank of America.
Lyanne Harrison: Can I come back to Ig. There were some comments in the prepared remarks where you talked about the Ig market demand and supply are well balanced. And that's very different from previous comments where you talk about unmet demand and also in response to Laura's question saying that there's limited supply of Ig. So I just wanted to understand, are you seeing different demand supply dynamic in different geographies. Can you talk about the United States versus rest of the world core countries? And then can you also speak to the expanded sales force in the United States, targeting certain accounts? Is that where you're seeing more competition? And as a result, you're having to invest more in sales and marketing there.
Andy Schmeltz: Thanks for the question, Lyanne. So let me try to clarify my comments about the Ig market dynamics. First of all, the unmet need for Ig is significant and the diseases that Ig is used to treat primary and secondary immunodeficiency, CIDP, we see the diagnosis and the utilization of Ig growing, high single digits, low double digits. My comments -- and we think that's going to continue for the foreseeable future. That being said, my comments about supply and demand balance were that just about all companies now, the major companies are vertically integrated and are very thoughtful in the amount of plasma that's needed to collect to deliver on looking a couple of years out, the demand projections for Ig. And so we're in an environment that there's sufficient supply generally to meet the projected demands for Ig. And so that's how I refer to a well-balanced market, but growing I mean, absolutely growing and attractive. And in our position as a market leader, we continue to expect to be a market leader. It's growing in the U.S. The demand is growing internationally. We do see the per capita usage of Ig is more robust in the U.S., in Australia, and in other geographies, right, there's just not as much Ig. So we think the global growth is going to continue. To your questions about the expanded field forces. I mean, look, we've been very thoughtful but believe that there is an opportunity for Behring to grow faster than the market in Ig over the midterm by ratcheting up our commercial capabilities and infrastructure. And so we created a new hospital focused field force that's promoting PRIVIGEN and KCENTRA at the beginning of this fiscal year. And we also increased the scale of our Ig immunology field force that promotes HIZENTRA and also PRIVIGEN, and we think it's just to help us continue not to stay competitive, but to be successful in growing faster than the market over the midterm.
Lyanne Harrison: And just a follow-up. If we could come back to KCENTRA. So obviously, if we think back to the December '24 half, that's when you had a contract last year. But since then, we've had 3 halves of, I guess, declining KCENTRA revenue. So I hope that, that would cycle out this half. But you talked about I guess, competition in that space. Can you talk about that a little bit more and what your expectations are for the second half of '26?
Andy Schmeltz: Sure. So the KCENTRA dynamic is that the competitor that entered and KCENTRA was the only 4-factor PCC in the U.S. And now there's another competitor. They came in with a price point, I think the average selling price is about 30% below KCENTRA. We've been very thoughtful about where to contract so that this doesn't become -- so that it makes sense for us. But it is fair to say that, I mean, an analog show that it takes several years to reach an equilibrium when there's a market entrant with a price differential like that. And so that's what we're working through. We're pleased to see that we're winning contracts and that with our broadened portfolio, it also gives us a leg up here to be successful winning contracts. And in those areas where we have contracted volume, we're growing. The 4-factor PCC market is growing in volume, but the revenue of the market has come down, not surprisingly, given this dynamic. And I think we're stabilizing. But I do think a return to growth is going to still be a few years out as we broaden indications.
Mark Dehring: Next question from David Bailey at Morgan Stanley.
David Bailey: Ken, you've given some numbers there for the operating expenses, R&D and G&A pretty much being the same in the second half. Just with the initiatives coming through on the Ig side, how should we be thinking about that sales and marketing line for the second half?
Ken Lim: So as a percentage of sales for Behring, reasonably consistent with the first half, similar with Vifor, Seqirus percentage of sales not as helpful first half, second half, just given the seasonality, but hopefully, that gives you a sufficient guide.
David Bailey: Yes. No, that's helpful. And then maybe just in terms of the perioperative bleeding segment, obviously, KCENTRA is under a bit of pressure there, but there is some things going on to potentially look at label expansion, similarly with fibrinogen acquired -- fibrinogen deficiency. Just maybe talk to us a little bit about where some of those life cycle management programs are at and then when we could potentially start to think about those -- the benefits from those label expansions coming in into the top line and the gross profit line?
Andy Schmeltz: Sure, David, I'll take that one. Look, this space, we think is attractive, and we have a right to win. With KCENTRA, we've got the cardiac surgery life cycle that's underway, and we're working with the FDA on a path forward for DOAC reversal indication for KCENTRA. Those will both take a few years. So we're looking at 2028 fiscal year and beyond. We did get feedback from the FDA on our RiaSTAP expanded label where they had some questions about clinical evidence, and we're working with the FDA to work through -- to get through that. So we do hope to be able to have an update and to broaden the indication for RiaSTAP fibrinogen. And then, of course, our VarmX partnership, which we think will be really great that, that should come online if all goes well in the end of the decade here, 2029-2030. So it's going to take a little bit of time, but this is a space where CSL certainly is poised not only to compete but to compete successfully and win over time.
Mark Dehring: Next question comes from Andrew Paine at CLSA.
Andrew Paine: Just wondering if you have any thoughts around visibility through 2 half '26, just in terms of breaching your NPATA guidance? Really just thinking about the October update where the focus is on albumin and flu and at least, market expectations, Seqirus outperformed and albumin underperformed. Just trying to understand the moving pieces here and keen to know how much clarity you have on underlying trends through 2 half '26.
Ken Lim: So incorporated within our guidance for the full year, obviously, the dynamics we've seen pan out in the first half. So within that, Seqirus is probably doing a little bit better than what we thought a few months ago. I think, a solid result for the 12% up, probably unlikely to hold that percentage growth over the full year. And then Andy has spoken to the Behring drivers. So that's all built into the numbers. Happy to elaborate if there's any other further detail you're looking for.
Andrew Paine: Yes. Just I guess, in terms of visibility that you have for these numbers through the half and I guess, leading into the half, it seems like there was quite a material shift in the last 2 months there versus what we thought was going to happen in October. I guess what happened there? And I guess, what's the confidence in the second half that you're not going to see some moves like you saw in those last 2 months?
Ken Lim: Sure. So we've touched on some of that to elaborate. Obviously, with the Seqirus business, there is some inherent uncertainty in U.S. vaccination rates. And we've been pleased to see some stronger late season vaccinations that have obviously then being incorporated into the Seqirus result. With respect to Behring, the progress through the half varied quite considerably. So if you recall, it was at the Annual General Meeting that we spoke about some of the headwinds that we're seeing in China. And I think the team pivoted very quickly to put countermeasures in place. And as you've heard from Andy, those countermeasures are having some really tangible positive impact. So I would say the results that we're seeing over the latter part of the half, to us, give us a good indicator of the trend that we expect to see as we move through the second half.
Mark Dehring: Next question comes from Sacha Krien at Evans & Partners.
Sacha Krien: Similar vein of questions to Andrew. I'm just wondering, it looks like the composition of your '26 guidance has changed. I'm just wondering how much of that is attributable to better performance on costs? Ken, it sounded like those numbers that you were sort of talking to in the second half are well below at least what the market was expecting. Is it just the $100 million saving from the cost-out program in FY '26?
Ken Lim: So I'll talk generally about costs. So yes, the $100 million target that we have been working towards for fiscal '26, we're happy with progress against that target. We are always looking for efficiencies across the group. And so if you look at, for example, our G&A line, I think at the full year result of '25, we guided to a G&A outcome of about $1 billion in the full year. I think we're going to come under that equally in R&D. I think at the time, we guided to full year outcome of about $1.35 billion. I think we'll be less than that. So we're very, very focused on taking out inefficiencies and unproductive spend. But importantly, where we see opportunities to grow the business, we will do that. And so I mentioned in my opening comments on R&D, we're investing in some exciting candidates where we see the opportunity. So that's the balance that we're making. But yes, there are some nice cost benefits that are flowing into the full year.
Sacha Krien: Yes. And just on -- sorry, [ to tackle ]. Just look at FY '27 a little bit, but you sort of flagged the TDAPA falling away for Velphoro and we've heard of some regulatory issues around Tavneos. I'm just wondering what Vifor looks like into '27 given those issues. What the headwinds are from the start of '27?
Ken Lim: So I'll touch on Vifor and then I think we'll get Andy to make some comments with respect to Tavneos. So Vifor, very much 2 different businesses. So with respect to iron, you would have seen that iron declined in the first half because of the well-known drivers there with loss of exclusivity. So we will see continuing declines in iron. Andy spoke to some of the initiatives we're doing to counteract that. But overall, I think that will net out with a decline in iron. And then, of course, in fiscal '27, we have the impact of the loss of exclusivity for Injectafer. With respect to the nephrology portfolio, the growth has been very strong in recent periods. A lot of that has been driven by Velphoro. And as we've articulated today, you need to be aware that the Velphoro TDAPA reimbursement period ends at the end of fiscal '26 -- sorry, at ends at the end of calendar '26. And the way reimbursement works for that channel in the U.S., we would expect to see a significant drop in Velphoro revenues from that point in time. So that's going to temper the nephrology growth rates that we expect in Vifor.
Andy Schmeltz: And then maybe to just add the rare nephrology portfolio with the launches, FILSPARI, internationally is growing well. Tavneos is well. You mentioned Tavneos -- and we're aware of the European Medical Authority Article 20 assessment, and we're working with the regulatory authorities following that procedure. So we just have to follow the process and allow that to play out.
Mark Dehring: Next question comes from Davin Thillainathan.
Davinthra Thillainathan: I guess I just want to understand a little bit more in terms of your sales force changes that you've put through for your Ig business. I guess the question really is about having seen the market share loss you've seen across the last 12 months and the change of CEO that you have announced. Just curious to understand perhaps if there were any missteps that were made across that time frame on the commercial execution stage. And then trying to, I guess, understand effectively if that assists you in growing your share again, if you understand the line of questions.
Andy Schmeltz: So let me take a stab at addressing some of your questions. Look, we are looking to grow our leadership in Ig not only growing with the market over the midterm, but growing faster than the market. And we see that there's opportunities everywhere. The way to be more successful in the U.S. is through the full range of commercial levers that we're pulling. And some of those include kind of share of voice on the ground, and so we've expanded our field force in the hospitals. We've expanded our office base field force. And now we're actively promoting both PRIVIGEN and HIZENTRA. We are in the U.S., we have a little bit lower share in Ig, IVIg with PRIVIGEN than we do internationally, and we think that there is an opportunity to expand our business. And so that's definitely part of our strategy going forward. That's something that has been well thought out over the last couple of years and will take time to play out, but really pleased to see PRIVIGEN for the first time in a while growing faster than the market, particularly in the important hospital segment in the U.S. recently. So I think it's just 1 example of our mindset to not rest on our laurels, not expect anything to be given to us, but to resource our teams appropriately to enable us to address the unmet need and to capture more patients with the CSL Ig franchise.
Davinthra Thillainathan: Okay. And then just a follow-up then, maybe a question for Ken, with the Behring gross margin, just thinking about the moving parts there. In the first half, I guess, we had a pretty big headwind with Medicare Part D as you called out 100 bps and the albumin pressure. But I think through the second half of '26, then those 2 factors kind of fall away. Would you then expect you would have a better margin performance from an accretion perspective in the second half?
Ken Lim: Yes. So just to go back to my earlier comments. Thanks for the question. Over the full year, we guide to expect margins to be broadly flat, a little bit up. And so it reflects a lot of different drivers. So I won't repeat everything else that I've said, but there's operational drivers, internal drivers that I think are going well and then we're working through the impact of the product mix shifts on the top line. Overall, medium-term outlook remains for an upward trend, but I think we'll see a slower margin expansion in fiscal '26.
Mark Dehring: Next question comes from Craig Wong-Pan at RBC.
Craig Wong-Pan: Within Ig, could you just explain the competitive dynamics you're seeing, given you have been underperforming peers, like, is the field force expansion in response to something your competitors have been doing?
Andy Schmeltz: Look, we're proud of our market-leading position in Ig globally. And we're always looking for ways to accelerate growth. And we did a thoughtful review and identified opportunities to resource ourselves a little bit more strongly in the U.S. And I think it's not reflective of an acute shift or a competitive approach. It's just a recognition that we're always looking for ways to allocate our resources in the most impactful way to drive the business. And so certainly, that plays out. The U.S. dynamics, as they are in other markets are quite always evolving. The customers, the channels, the level of concentration versus fragmentation. And so this was a purposeful investment. And we're already seeing it pay off, and so that, that will drive further investment. I mean another example is the direct-to-patient campaign for HIZENTRA where we know that HIZENTRA is the most convenient subcutaneous Ig offering for patients and many who are on IVIg or diagnosed with these conditions that HIZENTRA is a better total solution for them. And by going directly to the patients, which is a tried and true approach in many other disease areas, but had not been done in the Ig space before that this is an opportunity to further differentiate ourselves. And of course, for CSL, there's a benefit of having -- expanding our leadership in SCIG in the U.S. So I think it's all just thoughtful and smart commercial execution.
Craig Wong-Pan: Okay. And then just moving to iron that decline. Could you help us understand how much was lost volume or how much was kind of price that you had to -- like price reduction you had to incur to keep the volume?
Ken Lim: I can take that one. So I would tell you, overall, the decline is probably about 80% volume, 20% price over the year as a rough guide.
Mark Dehring: Next question comes from Thomas Wakim at Bell Potter Securities.
Thomas Wakim: Just on the Behring gross margin. So you're expecting, I guess, a bit of a small step-up in FY '26. But longer term, have there been any changes to the longer-term expectations around getting back to Behring's kind of pre-COVID gross margin level?
Ken Lim: No change in that longer-term expectation -- as you know, we're not going to put a time on it. But I think what's important is that we'll continue to deliver margin expansion over time. That's a really important metric for us, and we continue to deliver against it.
Thomas Wakim: And then just a second question, please, on Ig. Can you give us any update at all about the competitive dynamics within the CIDP indication obviously, some peers in this space have made some pretty significant sales gains with FcRn products. Have you noticed any impact at all of that on your Ig products?
Andy Schmeltz: The dynamics in CIDP with the introduction of FcRns are aligned with what we represented at Capital Markets Day. We see the vast majority of the utilization being after Ig in the second and third-line settings. And so Ig continues to be the market-leading standard for first-line utilization. And in fact, we see that for a subset of patients, the benefit risk of FcRns kind of wanes and we see them returning to [ Ig ]. So look, it's good for patients to have more options given these are chronic diseases. But I'd say it's -- nothing has changed over the recent 6-month period here.
Mark Dehring: Next question comes from David Stanton at Jefferies.
David Stanton: Yes. So just a follow-up for me, gentlemen. With the cost savings you're planning to get over the medium term, can you give us some ideas about whether you'll reinvest that -- those cost savings you've outlined? And so what percentage of the total and where potentially might you reinvest?
Ken Lim: Sure. So with the cost savings, what we've said before, which remains the case is that we will balance capital allocation between reinvesting in the business to drive growth. And so in the most recent period, I spoke about the reinvestments in commercial. But we need to be satisfied that those reinvestments are going to drive an attractive ROI. And if not, then obviously, those benefits will be released to the P&L with the objective of making sure that we can deliver adequate attractive returns to shareholders over the near, medium and longer term. In relation to a fixed metric when you look forward, that's not a metric that I can give you because it depends upon the quality of those reinvestment opportunities that come up at the time. So there will be a mix. We are looking to reinvest in growth. But we are also looking to drive P&L leverage. As I mentioned before, gross margin growing faster than revenue and operating margins growing faster than the gross margins, and cost-saving initiatives and releasing a significant part of that to the P&L is fundamental to that.
Mark Dehring: Look, there are no further questions in the queue, so I'll draw the briefing to a close. So thank you for your interest, and goodbye.